Operator: Good morning, ladies and gentlemen, and welcome to the Eco Wave Power mid-year 2022 earnings call. At this time, all participants have been placed on a listen-only mode and the floor will be open for questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Mr. Rob Fink of FNK IR. Rob, over to you.
Rob Fink: Thank you, operator, and welcome everyone to Eco Wave Power’s midyear 2022 earnings conference call. Hosting the call today is Inna Braverman, Eco Wave’s Co-founder and Chief Executive Officer. Before I turn the call over to Inna, I would like to remind everyone that matters discussed on this conference call will constitute forward looking statements within the meaning of the US Private Securities Litigation Reform Act of 1995. These forward looking statements generally relate to the company's plan, objectives and expectations for future operations and are based on management's current estimates, projections and futures results or trends. Actual results may differ materially from those projected as a result of certain risks and uncertainties. For a discussion of such risks and uncertainties, please see risk factors as described in Eco Wave Power’s registration statements on Form F1 that have been filed with the SEC and which are available on the SEC’s website at sec.gov. With that said, I'd like to turn the call over to Inna. Inna, the call is yours.
Inna Braverman: Thank you, Rob, and I'm very excited to be here today and announce that we are well impressed towards achieving the goals that we have set for this year, and are also moving steadily towards the commercialization of Wave -- of our technology and of Wave Energy in general. And some of our investors may already know we have previously proven our technology in Gibraltar and during the first half of 2022, we have continued to advance key projects in strategic market for Eco Wave Power around the world. The first key market for Eco Wave Power is Israel, since this is the company’s base and we want to show success in our country of origin. Our most advanced project in Israel is the EWP-EDF One project in Jaffa port in Israel, which is executed in collaboration and co-investment from the Israeli Energy Ministry and EDF Renewables IL. The project is currently in final stages of grid connection and is soon expected to become fully operational. Recently, in August, the Israeli Electrical Authority has set a special Feed-in Tariff for the electricity produced from our Wave Energy pilot as part of our technology's recognition as pioneering technology by the Israeli Energy Ministry. I'm extremely proud of our project in Israel, which will become the first time in the history of Israel in which electricity from the Wave will be sent to Israel's national electrical grid. This will enable us to gradually position Wave Energy as part of Israel's future renewable energy mix. Two additional targeted market for Eco Wave Power are Europe and the United States. Europe is a key market for Eco Wave Power because of its high wave climate and energy generation potential. According to recent studies, Wave Energy is expected to generate 188 gigawatt, which is 10% of all Europe's electricity by the year 2050. However, other than the great Wave Energy potential, Europe is also a leading location in terms of regulation, grants and favorable conditions for Wave Energy technologies as part of its overall blue economy agenda in the European market. Our progress in European market includes the sourcing of the licensing from DGEG for the first 1 megawatt pilot station, which is planned to be in Portugal; and which is in accordance with the 20 megawatt PPA Concession Agreement that was signed with APDL. In addition to the Portuguese project in April, 2022, a new 2 megawatt Concession Agreement was entered between Eco Wave Power and Port Adriano in Mallorca, Spain, and the new feasibility study agreements are in progress in several islands in Greece with the goal of developing the first 1 megawatt Wave Energy power station in the island. In addition, we are achieving progress with the R&D grant that we have received for the ILIAD project as part of the European Green Deal, and a grant we received from Innovate UK along with the University of Queen Mary. As for the United States, according to the U.S. Energy Information Administration, Wave Energy of the American coastline could have generated the equivalent of 66% of all energy generated in the country in 2020. Right now, only 20% of all the U.S. energy is generated from renewable energy. Can you imagine adding another 66% into the mix? In terms of our operational goals in the United States, due to the novelty of Wave Energy in the region, we have decided to operate in parallel on two paths in order to penetrate the U.S. market. The first front in which we operate, is the actual implementation of our very first demonstration project in the U.S., which will be done as part of a collaboration agreement that we have signed with AltaSea at the Port of Los Angeles. Our conversion unit for the demonstration is already on way to the port of LA, expected to arrive in the beginning of the month of October, 2022. Then, 7 floaters mechanisms will be produced in Los Angeles in order to show that we do not only create clean energy, but also create clean energy related workplaces. Our second front is New Jersey, where we are assisting in the promotion of an ambitious legislation dedicated to Eco Wave Energy into Governor Murphy's Energy Master Plan for New Jersey. In January, 2022, Assemblyman Karabinchak, announced his intent to introduce new legislation initiative to bolster Wave energy with the goal of introducing -- of including Wave Energy in his Energy Master Plan and developing a streamlined process for its deployment along New Jersey’s coastline. In June, Assemblyman Karabinchak, introduced Bill A4483, which calls for the Utility Board to create a commercialization and deployment plan and to offer financial incentive to companies and port owners for executing Wave Energy power stations. And most recently, on the 22 of September, 2022, the bill passed the assembly committee and is now headed to the New Jersey Senate for the next step of the legislation approval. With the passing of the legislation in its current format along with our planned pilot in the port of Los Angeles, our hope and belief is that it will lead to similar legislations and actual project implementations in other states within the U.S. Our approach is well aligned with global initiatives including legislation and renewable energy mandates such as the recent $369 billion Renewable Energy Bill Initiative by the U.S. Government, the Inflation Reduction Act of 2022 have been discussed in the positive shift that we believe we're able to bring to the energy ecosystem at recent event in the United States, including the UN Ocean Conference, the New York Climate Week, the QUAD Conference in Los Angeles, and the Atlantic's Next Scientific Revolution Conference, while simultaneously meeting with forward thinking legislators seeking to integrate Wave Energy in their state's respective renewable energy policies. Interest is growing, which we believe enables Eco Wave Power to promote new project faster, enter into new concession agreements and reduce legislation related barriers. Our progress combined with our success for at least into the NASDAQ capital markets, enables Eco Wave Power to transition to a single exchange for trading and security. The last day of trading the company's common shares on Nasdaq First North in Sweden was June 14, 2022. Beginning June 14, 2022, Eco Wave Power’s only listed securities are its American depository shares, which trade at the NASDAQ Capital Market under the ticket WAVE. Focusing our trading on the largest stock market in the world will help us more effectively reach innovators around the world. Given all the progress that I presented, I continue to believe that the year 2022 will be a year of significant progress with significant events to expect. Eco Wave Power continues to advance important initiatives with 2022 being a year thus far of executing new projects, broadening our projects pipeline in Europe and penetrating the U.S. market with new initiatives in the State of California and the State of New Jersey. We have previously proven that our technology in Gibraltar is working and with grid connected for six years, and are now advancing the build out of new deployment at the Port of Jaffa in Israel and the Port of Los Angeles in the State of California, while also moving forward with new and exciting concession agreements in Portugal, Spain and additional areas of interest with a clear goal of reaching large scale deployments in the near future. As a result, I'm increasingly confident in our ability to introduce Wave Energy as an innovative, exciting and viable renewable energy source. Thank you.
Operator: